Operator: Good day, and welcome to the Alexandria Real Estate Equities' Third Quarter 2025 Conference Call. [Operator Instructions] Please note, today's event is being recorded. I'd now like to turn the conference over to Paula Schwartz from Investor Relations. Please go ahead.
Paula Schwartz: Thank you, and good afternoon, everyone. This conference call contains forward-looking statements within the meaning of the federal securities laws. The company's actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company's periodic reports filed with the Securities and Exchange Commission. And now I would like to turn the call over to Joel Marcus, Executive Chairman and Founder. Please go ahead, Joel.
Joel Marcus: Thank you, Paula, and welcome, everybody, to Alexandria's third quarter earnings call. With me today are Hallie Kuhn, Peter Moglia and Marc Binda. Let me start off as I usually do with a quote. My friend and mentor, Jim Collins, who wrote his well-known book, Built to Last, noted that, the secret to an enduring great company is its ability to manage continuity and change simultaneously, a discipline that must be consciously practiced, keeping clearly focused on which should never change and what should be open to change. And clearly, our development pipeline is front and center in that. Jim's visionary wisdom and advice is a great frame for Alexandria at this moment in time as the gold standard and leader of our niche. We invented and pioneered life science real estate, a whole new asset class and category 31 years ago during the early years of the biotechnology revolution. Our North Star was and remains our focus on innovation clusters and ecosystems unique to the life science industry different than almost every other property type. We're blessed with best assets, best tenants, best Megacampus and best team. Our relentless mission is driven by building the future of life-changing innovation and enabling the world's leading innovators to advance and better human health. The biotechnology revolution started almost 50 years ago. And in those 50 years, we've only been able to therapeutically address less than 10% of the more than 10,000 diseases known to human kind. No one lives in a family, community, which has not been struck by the wrath of disease and illness devastating in so many ways. We now find ourselves on the precipice of an entirely new age of discovery and innovation at the intersection of biology and technology 50 years later. Biology, it's important to remember, is inherently slow and complex. The life science industry, and particularly the innovation engine of the biotech sector, is mission-critical for a strong, safe, healthier country and planet as well as for America's global leadership, future economic growth and security. As opposed to most property types, office, industrial and resi, we operate in a highly regulated industry that takes extraordinary time and cost to bring life-changing medicines to patients. To get a life-saving product on the market, you only can sell that product for a handful of years in a regime of pricing oversight sometimes control different than other property types. I wonder what Microsoft would say if they were told you could only license window for a decade and then you lose the right to retain revenue or develop revenue from that innovation. If it matters fundamentally if the government is shut down or not operating effectively or efficiently. The four pillars of the life science industry are critical and a critical bedrock to what I've just said about this country's health. We must preserve, protect and grow the strong and basic translational research. It is a critical bedrock of new discoveries, and we must deal, hopefully quickly, with the current limitation on indirect overhead cost, which is timing demand out of the institutional sector. We must preserve, protect and grow the robust entrepreneurial ecosystem with access to affordable capital. Cost of capital today is high for discovery research engines, from the venture capital to the IPO to the M&A, we are in a continuing difficult environment, getting better, but difficult nonetheless. That's the second bedrock. The third one is providing a reliable and efficient and time-sensitive regulatory science framework and pathways. Once again, the FDA must compress timeframes and cost of R&D development. We met with Commissioner McGarry at the end of September, and he is super focused on this issue. Important to note that total development time frame for molecules in the Western world, U.S. and the EU ranges in the neighborhood of about 10 to 12 years versus China, which is about 1/3 of that time frame in their early stage of development in this industry. Approximate cost to bring products to market in the Western world is somewhere in the range of about $1.5 billion. And in China, it's about 50% to 90% below that. So we're faced with a very different circumstance today that the industry must face. And the fourth pillar is providing reasonable reimbursement for innovative medicines, which are costly and time consuming to bring to market. We at Alexandria successfully navigated the dot-com bust in circa 2000, the great financial crisis circa 2008, 2009, both when we were unrated, non-investment grade. And during the GFC, we had 30% of our gross assets in non-income producing land at Mission Bay and Cambridge. But this time, the navigation is once again different than before. We've seen the unprecedented bull market -- the unprecedented bold biotech market post GFC 2014 to '21 capped off by the rocket ship of COVID rate funding and demand, a very low interest rate environment went along with that, which incentivized really foolish speculation by financially motivated real estate companies and they're even more foolish capital partners. This brought an unwanted and unnecessary oversupply to many of the innovation submarkets. This has never happened in this niche before. But they're learning painful lessons that this real estate niche is unique and different from all others. This was followed by a biotech bear market, we're now in the fifth year, which is starting to turn the corner, and we're now witnessing the bottom and early signs of a recovery and strengthening as we predicted at NAREIT in June. The industry is now enduring a government shutdown and the impact to the FDA is pretty serious. This brings us to the third quarter, a critical juncture and time for this industry. On the one hand, the greatest prospect ever for innovation in our time, and coupled with the relentless change in government shutdown. Quite a juxtaposition. Huge congrats to our first-in-class team who are navigating this difficult environment with relentless grit and determination and unparalleled experience and expertise. While declines in FFO per share, occupancy and guidance are tough at any point in time, Alexandria remains strong, tough, resilient and continuing beacon of life for our life science industry. One of our North Stars has been our balance sheet, working out of the GFC when we are unrated to today. We're now one of the top 15 of all REITs. It's strong, flexible and we have the longest weighted average remaining debt of all S&P 500 REITs at 11.6 years, over $4 billion of liquidity, strong fixed coverage ratio 96% -- almost 97% of our fixed rate debt is at [ 3.7% ] blended interest rate and one area of laser focus for us will be to continue to reduce our current non-income-producing assets on the balance sheet from the current 20% as we diagram for you in the supplement and press release, to about 10% to 15%. As opposed to the great financial crisis where we had 30% non-income producing assets as a percentage of gross assets with an unrated balance sheet there was pent-up demand and no supply coming out of the GFC year. So we kept our land at Mission Bay and Cambridge for future development, which provided a decade of unprecedented growth. Alexandria has and will continue in this environment to accelerate its transition from substantial development to a build-to-suit on Megacampus only development model. We intend to continue to decreased construction spend, preserve capital and not create further supply. And then finally, let me make a couple of comments before I turn it over to Marc for an in-depth review of the quarter and kind of factors impacting 2026. Let me make a couple of comments about leasing. The lifeblood of Alexandria's sector, a leading platform with the largest number of clients and strongest tenant base is our leasing. And our tenant base, of course, 53% of our leases are to investment grade or big cap, tenants with an average almost 9.5 years weighted average lease term for our top 20 tenants, and 18 of the top 20 pharmas are our tenants, a best example of our brand being the most trusted in the industry. And congrats to our team for the historic lease executed in this third quarter for 16 years with a credit -- existing credit tenant for almost 500,000 square feet at our Campus Point Megacampus in San Diego. We're proud to say that our ARR from Megacampus is 77% and is continuing to approach 80%. We continue to benefit from stellar operating margins and a very disciplined G&A run rate. 3Q was a solid quarter of leasing. However, institutional demand is still stuck due to the NIH issues and particularly the reimbursement of indirect costs. Coupled with we need to see more green shoots from early-stage, venture-backed companies as well as the larger cadre of public biotech companies which have yet to recover in a meaningful way. We're starting to see green shoots on that, but that will be a critical litmus test going forward. And finally, before I turn it over to Marc for comments, let me just say we intend to continue to meet the market for our tenants and continue to successfully lease and dominate our space. And with that, Marc?
Marc Binda: Thanks, Joel. This is Marc Binda, Chief Financial Officer. Good afternoon. I plan to cover the performance for the third quarter as well as some key emerging trends expected to impact 2026. Our team continues to navigate a challenging environment given macro industry and policy factors beyond our control. Please refer to our earnings release for our EPS results. FFO per share diluted as adjusted was $2.22 for 3Q '25 and included the following three key impacts compared with the prior quarter. First, occupancy was effectively down 1.1% for the quarter after considering the benefit from the exclusion of assets with vacancy, which were sold or designated for held-for-sale during the quarter, and was driven by a challenging life science supply and demand dynamic. Second, there was a $0.03 reduction in rental income associated with one tenant in our Seattle market to adjust rental income to cash basis. Importantly, that tenant remains in occupancy and is current on rent pending future critical milestones in the first half of 2026. And third, other income was down $8.7 million or about $0.05 compared to the prior quarter. Current quarter other income of $16 million remains consistent with the prior 8 quarter average. And as we discussed in our prior call, 2Q '25 did have some lumpy fees in there. Leasing volume for the quarter remained solid at 1.2 million square feet, in line with the 5 quarter average. This includes the previously announced 467,000 square foot build-to-suit lease with a multinational pharma tenant that was executed in July. We continue to benefit from our scale, high-quality tenant roster and brand loyalty with 82% of our leasing activity in the quarter coming from our existing deep well of approximately 700 tenant relationships. Rental rate growth for lease renewals and re-leasing the space for the quarter was solid at 15.2% and 6.1% on a cash basis, which is at the high end of our guidance range for the year. We've reduced our guidance for 2025 rental rate increases on renewals and re-leasing the space by 2%, primarily due to one short-term renewal in Canada that was executed in October as well as some higher free rent. Lease terms on leasing continue to be long at 14.6 years for the quarter, which is well above our historical average, and tenant improvement leasing costs on renewals and re-leasing the space for the quarter are relatively consistent with the prior year and down from the first half of the year. Occupancy at the end of the quarter was 90.6%, which was down 20 basis points from the prior quarter. As of September 30, certain assets with vacancy were designated for held-for-sale and were removed from our operating occupancy metric, which benefited occupancy at September 30 by 90 basis points. As a result, the decline in occupancy for our operating properties on an apples-to-apples basis declined by 110 basis points during the quarter. While occupancy declined due to oversupply in certain of our submarkets, it's important to highlight that our Megacampus platform, which represents 77% of our annual rental revenue as of 3Q '25 outperformed overall market occupancy in our three largest markets by 18%. Our outlook for year-end occupancy was reduced by 90 basis points to a range of 90% to 91.6%. Our outlook assumes up to a 1% benefit from assets with vacancy, which could potentially be sold or designated as held-for-sale by December 31, which implies an 80 basis point decline in occupancy by the end of 2025, based upon the midpoint of our guidance. Our team continues to execute with 617,458 square feet of leasing completed to date for spaces that are vacant today and expected to deliver upon the completion of construction in May of next year on average. Looking ahead to next year, we have 1.2 million square feet of lease expirations through the end of 2026, and which are in great assets in AAA locations but are expected to go vacant, and we expect downtime on those assets. Same-property NOI was down 6% and 3.1% on a cash basis for the quarter. The decline in same-property was primarily driven by lower occupancy. In addition, we provided an alternative same-property presentation, which recasts the first and second quarter results based upon the third quarter same-property pool to provide a consistent quarterly trend view given several assets that were removed from the third quarter same-property pool as they were either sold or designated as held-for-sale. It's important to note that this alternative presentation shows higher same-property performance in the first half of 2025, which means there will be a tougher benchmark in the first half of 2026. We reduced our outlook for same-property performance for 2025 by 1%, primarily due to slower-than-anticipated leasing caused by a slower realization of demand. Despite this change, we continue to benefit from a very high-quality tenant base with 53% of our ARR coming from investment-grade or publicly-traded large cap tenants, long remaining average lease terms of 7.5 years, average rent steps approaching 3% on 97% of our leases, solid rental rate increases of renewed and re-leasing space during the quarter, and our adjusted EBITDA margins remained strong at 71% for the most recent quarter, consistent with our 5-year average. On G&A, we continue to make great progress towards our goal of annual savings for 2025 of approximately $49 million compared to 2024 through a number of prudent and strategic cost savings initiatives. Our trailing 12 months G&A cost as a percentage of NOI was 5.7%, which represents approximately half the average of other S&P 500 REITs. We expect that around half of the 2025 savings will continue into 2026, given the temporary nature of some of the 2025 savings. With projects under construction and expected to generate significant NOI over the next few years, and other earlier-stage projects undergoing important entitlement design and site work necessary to be ready for future ground-up development, we are required to capitalize a portion of our gross interest cost. We have and will continue to curtail our large development pipeline coming off a decade bull run for the industry fueled by the rocket ship demand of COVID. Given the lack of clarity on near-term demand as well as significant availability in some of our submarkets, we are carefully evaluating on a project-by-project basis the $4.2 billion of land subject to capitalization during the first 9 months of the year. With preconstruction milestones in April 2026, on average, we continue to evaluate whether to progress preconstruction or construction efforts beyond the current milestones and in various cases will likely pause or curtail activity. If we decide to pause on a project as it reaches the next milestone, capitalization of interest, payroll and other required costs would cease on that project. While these ultimate decisions have not yet been made, we would like our funding program for next year to include a significant component of land dispositions which help us achieve one of our strategic objectives over the near to intermediate term to significantly reduce the size of our land bank. Sales of land could result in a significant reduction in capitalized interest and potential impairment charges. We expect steady to slightly lower capitalized interest in 4Q '25 and lower capitalized interest beginning in the first quarter of 2026. Despite positive recent activity for the biotech XBI Index, private and public biotech companies continue to remain challenged given the 5-year bear market for the sector. Given these and other factors unique to our venture investments, we did revise our guidance down to a range of $100 million to $120 million. It's important to point out that for the first 9 months of 2025, we realized $95 million of gains from our venture investments, which were included in FFO per share as adjusted or about $32 million per quarter. Based upon the midpoint of our revised guidance for realized investment gains of $110 million, this implies $15 million for the fourth quarter, or a $17 million decline over the average quarterly run rate for the last 3 quarters. We continue to stand out as our corporate credit ratings rank in the top 15% of all publicly traded U.S. REITs. We have the longest average remaining debt maturity among all S&P 500 REITs at 11.6 years and tremendous liquidity of $4.2 billion. We updated our guidance for year-end leverage to 5.5 to 6.0x for 4Q '25 net debt to annualized adjusted EBITDA. The increase from our prior target of 5.2x was primarily due to two factors: first, a reduction in our disposition guidance to a midpoint of $1.5 billion related to $450 million of potential dispositions expected to be delayed into 2026; and second, a projected reduction in annualized EBITDA in the fourth quarter from lower same-property net operating income and lower realized investment gains. We've completed $508 million of dispositions to date, which leaves $1 billion to complete in the fourth quarter, all of which are subject to non-fundable deposits signed NOIs or purchase and sale negotiations. In connection with our disposition program, we recognized impairments of real estate of $323.9 million during the quarter, with approximately 2/3 of that coming from an investment in our Long Island City redevelopment property. Three items to highlight here. First, we acquired the site in 2018. That submarket suffered a substantial setback when Amazon abandoned its plan for new HQ in that location in 2019 and it never recovered. Second, despite the lower rental rate price point and our dominance in that submarket, it has been challenging to get a critical mass of life science tenants to go to this location. And ultimately, we don't view it as a life science destination that can scale. And third, this location has become more of an industrial flex and cinema submarket rather than life science. Ultimately, at the end of September, we decided future capital needs and the sale proceeds related to this project would be better recycled into our Megacampuses where we have greater conviction long term. Looking forward, we have a number of assets under consideration for sale either by the end of this year or sometime in 2026 that have estimated values below our carrying values ranging from $0 to $685 million. Although these potential impairments have not been triggered and final decisions to proceed have not been made, we updated our guidance range for 2025 to reflect these potential additional impairments in the fourth quarter. We anticipate an end to the large-scale non-core asset program by the end of 2026 or early 2027. We also expect dispositions to provide the vast majority of our capital needs for next year. Turning to capital allocation, two points here. First, we are continuing to evaluate some of our development and redevelopment projects expected to stabilize in 2027 and 2028 for opportunities to pivot. Second, we estimate our 2026 construction spending to be similar to slightly higher than the midpoint of construction spending for 2025 of $1.75 billion, which includes the recently announced build-to-suit in San Diego and higher CapEx and repositioning costs necessary to lease vacant space related to our operating properties. But the goal is to continue to reduce non-income-producing assets and other development pipeline -- and our development pipeline over time. Next, on dividend policy. The Board's approach has been to share cash flows from operating activities with investors as well as to retain a meaningful amount for reinvestment which has allowed us to retain $475 million at the midpoint of our guidance range for 2025. In addition, the cumulative growth in dividends and FFO has been highly correlated since 2013. Given the factors that we described in our press release that are expected to impact 2026 earnings and cash flows, we anticipate that our Board of Directors will carefully evaluate future dividend levels accordingly. We provided updated guidance for FFO per share diluted as adjusted for 2025, which was reduced by $0.25, or about 2.7% to a midpoint of $9.01 per share. This change was primarily due to lower investment gains and lower same-property performance driven by lower occupancy. Looking ahead to 2026, as is our long-standing practice, we will provide detailed guidance at our Investor Day on December 3. And in advance of that, we've shared five important trends that will impact earnings for 2026, including core operations and occupancy, capitalized interest, realized gains on non-real estate investments, G&A and our disposition program. Please refer to Page 6 of our supplemental package for more information. Given the various factors impacting 2026 earnings, it's important to recognize the tremendous intrinsic value of our highly differentiated Megacampus assets included in consensus NAV, which is significantly above our current trading price today with that consensus NAV coming in at around $117 per share. To be clear, we continue to be the dominant leader for life science real estate with the best assets in the best locations and the best tenants. Our focus in irreplaceable world-class Megacampuses will continue to set us apart and give us an opportunity to capture premium economics for the long term as the demand and supply picture improves over time. Now I'll turn it back to Joel.
Joel Marcus: Operator, please start questions.
Operator: [Operator Instructions] Today's first question comes from Farrell Granath with BofA.
Farrell Granath: I first just want to touch on, I know last quarter, you had some commentary about potential benefits to occupancy, about $600,000 or 1.7%. I was curious on the update and your expectations or line of sight that you're seeing now?
Joel Marcus: Yes. That's a really good question. Marc, do you want to comment on those assets?
Marc Binda: Sure. Yes. So we did provide an update, it's in Page 2 of the press release, that number is about 617,000 feet as of September 30. It's primarily at properties located in Greater Boston, San Francisco, San Diego and Seattle. And it's about $46 million of -- potential annual rental revenue of $46 million. And we expect it to deliver on average. There's a lot of spaces in there, as you can imagine, but on average, around May 1 of next year.
Farrell Granath: Okay. And also, I guess, a broader question. In previous calls, we've heard that there was early positivity around leading indicators in the biotech market. And you made a few comments around that. But it generally still feels like you're very much seeing the impacts of supply and demand. And I'm curious, what would turn your perspective or optimism a little bit higher, either if that's greater IPOs or different capital market movements?
Joel Marcus: Yes. That's also a really important question. I think the two -- well, there are three missing links, as I mentioned in my opening comments to demand today and Hallie, can give you chapter and verse on the green shoots that we're seeing, which are substantial from the capital market side to M&A, et cetera. But one is the FDA, the government shutdown has to stop and the FDA has to open. Number two, venture, earlier-stage venture-backed companies have to start making commitments for space as opposed to kind of holding, waiting for cost of capital issues with the Fed and broadly in the industry. And I think, three, the public biotech sector, which has been, to a large extent, the mainstay of this industry as far as space and demand has to be reignited. And even though the XBI is up substantially, that has not yet translated into action. So I think those are the key things we're looking for. And institutional demand, if the NIH can get its act together on the issues we talked about, one, making sure they're fully funded and disbursing funds and that there's an unlocking of the current bar to the 15% indirect cost limitation.
Operator: Thank you. And our next question today comes from Seth Bergey with Citi.
Nicholas Joseph: It's Nick here with Seth. Just as we think about the sources of capital, you mentioned equity-like capital. Could you elaborate on that and kind of either the pricing or what exactly you mean by that?
Joel Marcus: Yes. I mean we've used that for the last, I don't know, 15-or-so years. That really is just capital that comes into the company through one form or another, it could be savings on dividend like we've done. It could be other sources, joint sales of joint ventures. But primarily, I think Marc stated it pretty clearly, and let me just repeat for everybody, the vast majority of capital for next year's plan, which will unveil on December 3 at Investor Day will be asset sales. And we gave you a pie chart in the press release regarding, at least, this year's proportion of those, so a big chunk from land, a very big chunk from other than fully stabilized assets and then a chunk from stabilized assets. So I don't think that's going to vary much from this year.
Nicholas Joseph: That's helpful. And then in your opening comments, you said the bear market is starting to turn the corner. Are you seen that in the transaction market as well for -- on the stabilized asset side? Is there a change in buyer demand given the underlying fundamentals and what you're seeing?
Joel Marcus: Yes, Peter?
Peter M. Moglia: Yes. I would say that there is strong demand for our assets, especially ones that investors consider to be opportunistic, that's really the sweet spot right now. But yes, we have no shortage of interest in everything that we're bringing to the table, that's life science and things that are alternative uses where we're finding a lot of interest from residential developer.
Operator: And our next question today comes from Rich Anderson at Cantor Fitzgerald.
Richard Anderson: So can you talk a little bit about -- a little bit more detail on the development sort of process going forward? I think it's a matter of -- maybe it comes down in order of magnitude over the coming years just in dollars in terms of development spend, but also type of development. Joel, did I hear you right that the focus going forward will be more on build-to-suits than anything else, not that you haven't been focused on that. But I mean, I wonder what the development picture is going to look like kind of post-2026, when you top off what's left and then you consider the $4.2 billion that's sort of kind of still early stage in terms of the process. Just if you could sort of give us a line of sight into what this will all look like eventually?
Joel Marcus: Yes. And I mean you can look at, we've been at this now for a multiyear period. It obviously is a lot of pick and shovel work. This year is a good example. And again, the chart or the pie chart I referred to just a moment ago, this year's land sales as estimated, both what we've accomplished and what we have left to do, will be an important part of reducing that land bank. And if you look at Page 46 of the press release and supp, you can see the pie chart. Marc has tried to enhance this in as clear a fashion as possible. And you can look just your eyes kind of go to 2 particular places right away. One is the 15% bucket critical milestones coming up, non-Megacampus projects. We clearly want to bring -- to try to, through entitlement, design and sometimes design, but entitlement in particular, trying to create as much value for alternative uses. We mentioned resi and we've been very successful there. So this is a bucket that will clearly not be there over the coming years. The one at its immediate left, 26%, where we have both -- well, stable near-term projects that are not yet fully stabilized, of course, '27 and beyond, we have a smaller amount of leasing. Those are projects that we are going to look at very carefully and make some pretty big determinations as soon as we can get to points in time where we think we've tried to maximize the current value. And my guess is a bunch of those projects will be sold, which will further reduce the land bank. And we'll see on the Megacampus projects, what happens to those. We're clearly unable to do all Megacampuses. And so it's certainly possible we bring one or more. There's a chart of, I think, or pictures of 4 big Megacampuses, one in Seattle, one in near South San Francisco, in San Bruno, another one in San Carlos and then the final one at Campus Point. It's pretty clear that, for example, the San Bruno is one that we're thinking about very carefully. We're working through a very complex project with both entitlements and existing tenants. And we'll see what happens there. But that's the kind of project that we could see potentially exiting at some point as well. So we're trying to be as both as aggressive as we can time-wise, cost-wise, but also very thoughtful.
Richard Anderson: Okay. And so do you think that there will be like at Investor Day some sort of run rate development exposure that Alexandria will sort of commit to at the other side of all this? Is that sort of the messaging that you expect to provide, if not right now, but...
Joel Marcus: When you say development run rate specifically as to what time?
Richard Anderson: Well, as a percentage of assets or however you want to look at.
Joel Marcus: Well, I think I actually said it on the call in my opening, we're at 20% today. We were at 30% break GFC, but for different reasons, we decided to hold those, Mission Bay and Cambridge, and those turned out to be the lifeblood of our decade bull run with the biotech industry. I think it's different this time because there's a lot of stupid space that was built by others. And so we don't want to build into that kind of a market. So 20% should come down to 10% to 15% over the coming years, and we're certainly looking at trying to accelerate that as fast as possible because the less we have on balance sheet and the less dollars going into that or the less construction dollars and funding dollars we have to require. So the 2 go hand-in-hand. But 10% to 15% is the number.
Richard Anderson: Yes. Okay, you did say that, my apologies. And then lastly for me, on the dividend, you're running at a $5.28 annual dividend and talking about the Board taking a look at it next year. What's your comfort level from a payout ratio sort of when you kind of think about resetting the dividend? I'm just curious where -- what the sort of the policy is -- the dividend policy...
Joel Marcus: Yes. Well, the Board will look at that in the fourth quarter and declare a fourth quarter dividend. I think what we want to do is try to be able to frame 2026, I think, very, very clearly, and we'll try to do that to the Street as quickly as we can. But I think that frame then impacts how the Board will think about the metrics of dividend. But remember, that's our cheapest form of capital, so we are focused on that. But Marc, you could give any broad parameters you want.
Marc Binda: Well, I would -- the only thing I would add to that is we do have room in our taxable income. So the Board will obviously make the final decision, but there's room potentially up to 40 -- 30%, 40%, but they'll be looking at a variety of factors, including the amount of retained cash flows or capital needs for next year, AFFO coverage as well as a few other stats there.
Operator: And our next question today comes from Anthony Paolone with JPMorgan.
Anthony Paolone: Just on that last point on the dividend, Marc, do you all have taxable net? Like do you need to pay a dividend? Or do you have the ability to just keep cash?
Marc Binda: No, we do need to pay a dividend. That's right. I mean...
Joel Marcus: And we intend to.
Anthony Paolone: Okay. Just wondering, because also it seems like even after a day like today with the stock down the way it is, and you had brought up kind of where some of the Street numbers are for NAV, like does this bring back the prospect of using capital just for your stock here? Or are the development needs just going to be great enough that you got to keep going down that path?
Marc Binda: Yes. Look, I think we believe the price is attractive to buy back, but we're certainly focused on making sure that we have enough capital to finish out the construction commitments that we have, and that's kind of our first priority.
Anthony Paolone: Okay. And then just another question. Just in the -- you called out the 1.2 million square feet that are sort of the key leases or move-outs we should be thinking about. But the remaining like 1.3 million square feet expiring next year, are those likely to stay and so you kind of have kept them in a separate bucket? Or should we assume there's still some normal retention to move out in that grouping as well?
Marc Binda: Yes. Look, those -- what's left over is -- are things in the normal course of leasing. So what we've called out are items that we are -- we know are going to go vacant. The rest of it are things that are just too early to tell.
Anthony Paolone: Okay. If I could just sneak one more in. Just, Marc, you mentioned the $15 million in venture gains for the fourth quarter. I know you'll give details on other income in December, but should we think of $15 million as the new $32 million or any guidepost there at this point?
Marc Binda: Look, the $15 million as the number for the fourth quarter is really a reflection of where we think the market is and the unique factors specific to our portfolio of investments. We'll be able to give a clear picture on what we think next year looks like at our Investor Day come December.
Operator: And our next question comes from Wes Golladay of Baird.
Wesley Golladay: I was just looking at the future pipeline, the $3 billion and the $1.2 billion, how much of the potential residential land plays will come out of that bucket? And then when you also look at the potential for $685 million of impairments, would that mostly fall in that bucket as well?
Marc Binda: Yes. It's Marc. I can definitely take the second question on the $685 million. Just to be clear, the $685 million is -- relates to a variety of assets that are under consideration. So there's a variety of ways that, that could go. It just depends on what happens with the buyer, if we can get a price that we like, et cetera, some of these assets we could end up holding if we decide to pivot. But the $685 million, I would say the bigger chunk there has to do with land-type assets.
Wesley Golladay: Okay. And then for the -- go ahead. sorry.
Joel Marcus: No, please.
Wesley Golladay: No, go ahead, go ahead. Yes.
Joel Marcus: Well, I was going to say, if you just look at the 4 Megacampuses that are pictured in the press release and supp, each one of those are intended to have a component and some substantial component of resi. So you can make that judgment based on that commentary.
Wesley Golladay: Okay. Got that. And then for the leases that are going to commence in, I guess, the first half of next year, was there any -- it looks like there might have been a small delay on that. Was that anything like permitting-wise or just the tenant looking to move in a little bit later?
Marc Binda: Yes. No, I don't know that there was necessarily a delay. It's just a -- that bucket continues to evolve, right, as some of it gets delivered and then we're obviously adding new stuff there, right? We're leasing space that then extends that. So that will be an evolution just because that bucket changes from quarter-to-quarter.
Operator: And our next question comes from Michael Carroll at RBC Capital Markets.
Michael Carroll: Can you provide some color on the type of tenant activity that the company is tracking right now? I mean it sounds like in the prepared remarks that you're seeing activity being kind of flat despite the XBI uptick. But are there certain tenants looking for different types of spaces? I mean, how many tenants are looking for like the Class A space versus the Class B space? I mean is there different price points that tenants are looking at just given them trying to extend their cash burn rates given the current uncertainty?
Joel Marcus: Well, yes, that's almost an impossible question to answer because if you look at the press release and supp, we put a pie chart of our -- the tenant sectors in there, and there is certainly demand from almost all of those. There's no government demand. And at the moment, there's muted institutional demand, although we're working on one big deal as we speak. But aside from that, I think what we said is, and it varies submarket by submarket, each submarket has its own particular dynamics. Some are pretty well in balance with supply and demand. Others are imbalanced. And so that is a little bit different. But I think across the board, there is demand. I think what the commentary really is, is that given the recovery in the XBI, we're a little surprised that demand hasn't followed as much. It's not as obvious than maybe in past times, but the reason for that is clear, cost of capital and federal interest rates are being stubbornly high. The government has shut down. The FDA is closed by and large, and there's a lot of log jams out there that are preventing a -- and the IPO market is shut by and large. There's a little bit of activity, but it really isn't an opening. I think those are the factors. But there's demand from a variety of sectors. But again, it's very case specific. And it also depends on, when you say Class A, you tend to have revenue-producing companies looking for Class A space or companies that are extremely well capitalized. Others are looking for either moved out space or second -- true second-generation space after a 5-, 7-, 10-year lease, so it varies all over the marketplace.
Michael Carroll: All right. That's helpful. And then just following up on Anthony's question related to the 1.3 million square feet of 2026 lease expirations that are still outstanding that you guys need to address. Is that mostly lab tenants that are looking at that space? Or I guess, what's the mix between lab tenants or maybe covered land plays that those assets were holding? I mean, can you provide any details on what type of tenants are included in that bucket?
Marc Binda: Yes. Yes. I mean we try to give some framework for kind of the key drivers there. I think it was on Page 23, footnote 4. If you go kind of line by line through the call out of those properties, most of those are going to be lab related, with the exception of the first one that we called out, which is about in 137,000 in Greater Stanford, that one is probably more likely to be targeted to an advanced technology use, but the other ones that we called out there in San Diego and then also in Cambridge are all lab.
Michael Carroll: Okay. Is this the 1.3 million remaining square feet? Or is that footnote talking about the 1.1 million square feet that is expected to move out?
Marc Binda: That's related to the -- sorry, I was referring to the 1.2 million square feet of lease expirations that are known vacates.
Michael Carroll: And then the 1.3 million that is remaining that is yet to be addressed. Is that mostly lab?
Marc Binda: It's a mix. I would say, mostly lab, but it's a mix.
Peter M. Moglia: Yes, Marc, it's Peter. I can confirm it's mostly lab. There is also a little bit more tech space in there, just like in the 1.2 million, but it's mostly lab.
Operator: And our next question today comes from John Kim with BMO Capital Markets.
John Kim: I was wondering if you could provide a little bit more color on the quantum of capitalized interest that may be lowered in 2026. I know you mentioned a lot of this will be driven by land sales, but I'm trying to match that with the $1.75 billion of expected construction spend you'll have next year, which would suggest that the majority of capitalized interest will continue?
Marc Binda: Yes, I can take that. So 2 things driving next year in terms of construction numbers, one is the development costs and redevelopment costs to finish what's in the active pipeline, right? We still have a decent amount that's going to deliver next year that is 80% leased. And then we've also got higher, I would say, CapEx or repositioning type costs next year than we had in 2025, and that has a lot to do with the fact that there are some known vacates and it's going to cost -- we're going to have higher maintenance costs just given how much vacancy we have to lease in this market. So those are really the 2 biggest drivers. I think in terms of your fundamental question of how much cap interest rolls off, I would just refer you to the commentary that Joel had earlier about really thinking through that pie chart on Page 46 of the supplemental, the way we're thinking about the various buckets. The Megacampuses, obviously, we'd love to do. They're very valuable, but we can't do them all. You've got the non-Megacampus future land assets, which would be ripe if there are opportunities to sell. And then the 2027 and beyond projects, which we may look at opportunities to pivot there in some fashion.
John Kim: Okay. And then going back to the known move-outs for next year, the 1.2 million square feet, can you provide some commentary on why those tenants are not renewing? Whether they're going to new product or they're shrinking footprint or there was some kind of event within the company?
Marc Binda: Yes, sure. I can rattle through those. So maybe I'll just go through the 4 that we mentioned there. The first basket was really, I would say, a non-lab tenant. They were a software company that was in there when we acquired those assets in Greater Stanford. That's 138,000 feet. That was a known vacate. The original business plan there was to redevelop it when we bought that a number of years ago. But things are obviously different, and we may choose to do something different there in terms of targeting more advanced type technology users. So that...
Joel Marcus: Yes. And there's a lot of tech activity on that location. Actually, it's a very, very unique campus, mini campus.
Marc Binda: Yes. And then in San Diego, I would just point to the one asset in Torrey Pines, the 118,000, that was a project that had been occupied by a subsidiary of a big pharma. That big pharma ended up consolidating on our campus at Campus Point and they ended up coming out of that space, but they did expand with us. And I think that project delivers next year. So that was kind of lead behind space. The 84,000 or 83,000 square foot space in Sorrento Mesa, a similar story. That was a subsidiary of a big pharma that also expanded with us on our SD Tech campus, and that was the lead behind space, very good quality spaces in both of those instances, but they're bigger spaces, so it may take some time if we end up either targeting a larger user or smaller-type users since they were big kind of single tenant spaces. And then the last bucket in Cambridge, some of that was -- it's just a variety of different spaces. Those spaces, as we mentioned there were older product that we really hadn't -- at least most of it hadn't really touched since we bought that campus in 2016. So it's a variety of factors.
Joel Marcus: Yes. And then you should note that of the 3 noted vacancies on Page 23, footnote 4, we have an LOI signed for 83,000 square feet of that known vacate, and we have an LOI signed of about 40% of the 118,000 feet at the moment. So stay tuned.
Operator: And our next question today comes from Vikram Malhotra with Mizuho.
Vikram Malhotra: I guess, Joel, bigger picture, you're now in a macro, you sort of called the bottom, but things are uncertain. Obviously, you don't have control over that. It seems like the sales process is also -- it really depends on buyer timing, so perhaps less control and you're trying to solve for leverage and capital needs. So I'm wondering like as you get through this in the next year or 2, to be in a better position to maybe take advantage of distress, why not consider just outright equity to fix the balance sheet, fix your capital needs, rather than having to rely on the asset sale process, which I know is important, but I'm just trying to...
Joel Marcus: Well, yes, that's a really good question. But I think, number one, the balance sheet is actually in great shape. Leverage ticked up a little bit, but I think we're pretty comfortable given the sales we have in line. I think what we really want to do is to bring our balance sheet down to a much healthier non-income-producing asset weighting, if you will, now at 20%, down to 10% to 15%, and I think we'll make pretty huge strides on that through the end of next year and early '27. We've got a couple of big sales where we are close to pretty big entitlements and that will help us on valuations. But we feel like we can manage the balance sheet and provide the capital we need through the assets that we would like to shed. And also, we have been selling a lot of non-core assets, some stabilized and some non-stabilized and that's part of our goal to move our Megacampus ARR up to about the 80% level. So I think we feel pretty good about that without the need to go through a common equity raise.
Vikram Malhotra: Okay. And then just on this -- the Investor Day, like, there's a bit of a departure, you're giving a lot of tea leaves on '26. I'm just wondering sort of why not so-called rip the Band-Aid just give a high-level number of where you think next year is going to shake out. Just -- it seems like a 2-step process, which I don't know...
Joel Marcus: Yes, we get that. Unfortunately -- well, let me just say this, we wouldn't have preferred to plan third quarter earnings so close in time to Investor Day. But I think Marc and his team may very well give a range for FFO kind of a framework for that here shortly to the Street. So keep your eye out for that. We're likely to probably try to do that, so that we don't keep people in a mystery box for 3 or 4 weeks, which we never intended to do. But frankly, the industry is -- as I said, it's a regulated industry. And it is in a tough time because the government shutdown essentially puts almost everything you can't file for, you can't submit to the FDA for new INDs. There are some things coming out the back end, but the wheels are substantially stopped. And then on the other hand, the President has chosen, I think, better than the former administration, who is trying to get much broader price controls. This administration is really negotiating with each big pharma in a sense to get his version of MFN. So far, it's been limited to Medicaid, which I think has been great, but going through 20 big pharmas is tough. So there's a lot of -- kind of a lot of slow-moving wheels out there that we really need to see kind of the wheel put back on the cart so that the industry moves forward. And as I said, the industry has tremendous prospects. Any of us who have seen or in their disease know that there's a lot of wood to chop. We know of a whole number of people who've just been diagnosed with Parkinson's. We still don't have any addressable therapy. We got to get moving on these. So we will try to give the Street guidance here pretty shortly. So there's not a 3-, 4-, 5-week delay in trying to at least frame it. Marc did a -- I thought tried to do a good job giving factors, but we realized with cap interest rolling the way it's going to roll as we reduce the development pipeline, that leaves an unknown numbers out there that we'll try to fill in, broadly speaking.
Vikram Malhotra: Great. We look forward to the update and definitely ARE on the other side.
Joel Marcus: Yes. And thank you for the thought on that.
Operator: And our next question today comes from Dylan Burzinski with Green Street.
Dylan Burzinski: I guess just -- maybe going back to some of your comments, Joel, it seems like the only thing that's necessarily changed this quarter versus last quarter is really related to the government shutdown, right? Because if you think about the supply pipeline that sort of continues to dwindle, albeit it's still at high levels. There's obviously been a huge challenging capital markets environment for a lot of tenants. So I guess you mentioned that the government shutdown is having a huge impact in terms of kind of demand, it seems like. So is it the idea that we should think that once the government comes back, that demand start to pick up off of this level or...
Joel Marcus: I don't think that's necessarily the issue, but that's a prerequisite for the industry kind of getting on its feet because, again, it's a regulated industry, both from submissions, clinical trials and then approvals. And if the government doesn't open, you can't get any of those really effectively done. Some of -- I think there was one approval to AstraZeneca that kind of came out recently. But I mean the wheels are stopped. That isn't going to -- that isn't directly tied to demand, but it's hugely tied to the health of the industry, which then in turn is tied to demand. I think if you go back to the second quarter, I think people still -- I remember, second quarter call, and then at Nareit, it wasn't clear when the industry would kind of hit this bottom, but it kind of has been bottoming but at a time when the government is shut. I think what we really need to see is lower cost of capital and a clear and condensed regulatory path. I mean I think if you think about a couple of things, what's needed for this industry, there are 3 things I could tell you. One is we must reduce the drug development costs. And that's really in the hands of the FDA and our meeting with Makary confirmed he's hyper-focused on that. We've got to increase the probability of success of drug development. I think AI and other tools will help that. But the FDA, again, is front and center there. And then we've got to lower the regulatory barriers to help streamline a lot of these programs. And I think that's what's needed to bring health back to this industry in a really robust fashion. We need venture to kind of open their pocket book and cost of capital is a big issue there, and we need the IPO market to open and the secondary market to become even more fulsome, not just doing offerings on data per se. If those things happen, then you've got a very healthy industry.
Dylan Burzinski: I guess as a sort of follow-up to that, I mean -- and maybe it was asked, sorry if I missed it, I joined late. But I mean I get the sense that reading some -- or listening to the call today, reading some of the tea leaves and the 2026 consideration settlement that demand may have worsened since the second quarter, but it felt like looking back at my note and stuff and your commentary on that, that things are set to improve, and we're hearing out of peers of yours that the demand -- the overall touring pipeline is improving. So just trying to see if maybe I'm misreading into some of the comments made today as well as the 2026 considerations.
Joel Marcus: Well, I don't -- again, I don't think you can look at -- this isn't like office where you can look at certain data and be fairly certain that office is going to rebound or data for mini storage or data for resi or something. This industry is far more complex. It's highly regulated, both at the front end and the back end. So I know everybody struggles. They want indicators and factors that point to demand and quarter-to-quarter, it doesn't really work that way. And I think we've had 2 reasonable quarters of leasing, but that doesn't reflect the health -- the underlying health of the industry, which I've tried to articulate, is still in need of a number of pieces to be put in place for that to happen. And then I think you've got a fulsome rebound. So that's the best I can articulate it.
Hallie Kuhn: Maybe -- this is Hallie here. Maybe just to add to Joel's comments, when you think about tour activity where we're certainly seeing really great companies looking for new space, thinking about expansion. But as we've mentioned before, decisions are taking longer. We're very conservative in how they think about when to pull the trigger. And given all of the factors Joel mentioned, there's still a lot of uncertainty. And so we do feel confident that there are some fantastic companies, really high quality in this market that are going to need space. The question is, when are they going to get comfort around making those decisions. And to date, there's just still a lot up in the air, especially on the regulatory front.
Joel Marcus: Yes...
Dylan Burzinski: Yes. Really appreciate that. And maybe just one more, if I can. I know you guys kind of alluded to equity-type capital, and Joel, you mentioned partial interest sales dividends, stuff like that. But I know most of your guys is focused on the dispositions of sort of the non-core assets. I guess is there any desire to sell a partial interest in any of the Megacampuses given it still seems like there'd be a strong bid or depth of demand for that type of product today?
Joel Marcus: Well, I don't think that is our game plan because I think over time, our goal is actually to own more of the Megacampus rather than less. But I think there are a variety of campuses. Some are at the absolute upper end, some are in the medium to high end. So it's a matter of selection there and some we already have partners on. But I don't think that's necessarily the key game plan. Our key game plan is to rid the balance sheet of a whole lot of non-income-producing property and reduce our exposure to non-core assets to as minimal as we can. I think that's the core strategy here.
Operator: And our next question today comes from Jim Kammert with Evercore.
James Kammert: You've given a lot of great color regarding the '26 expirations and potential move-outs. Is it -- given the environment, is it like too early to even start thinking about 2027 type expirations? And how those tenants are looking in terms of their burn rates and their intentions? I'm just curious, as you go into the Investor Day, et cetera, perhaps as much clarity on that would be helpful.
Joel Marcus: Yes. Well, we -- it's a good question, Jim, and we're pretty laser focused, not only on next year's roles, but the year after's roles. And in fact, we just had one I think renewal extension we just did, which was a company that I think had a role in 2031. We just extended for a decade. So we're all over every single tenant that we want to keep in our markets about what we can do to preserve them, protect our core and to create future growth, so that clearly is also front and center for us, yes.
James Kammert: Okay, great. And quickly second one, there was some press discussion that in Mission Bay, you had been potentially looking to reallocate, I think, is the term they use, some of the lab space there, your 4 assets in Mission Bay to office use, particularly targeting AI? I mean, one, is that a valid report? And if there is validity to it, how would that sort of work? What would you do with your existing tenants?
Joel Marcus: Yes. I'll have Peter comment, but we did go in for Prop M allocation for, I think, most of our buildings there. We have them in a partnership, but we're the managing partner, and we got 100% approval on that. And the reason is because, one, we want to be able to offer office to the extent that it makes sense for our existing tenants as they need it. UCSF is a big tenant on campus and sometimes their needs flex between lab and office. Clearly, OpenAI has made that the center of the universe for their needs and campuses buildings around a campus, and that's a very valuable use of space. So it makes good sense to be able to have that flexibility. But Peter, do you want to comment?
Peter M. Moglia: Yes. So we already had a couple of properties in Mission Bay, the Illinois properties already had 100% allocation for Prop M. When we developed the Owens properties, 1450, 1500, 1700 Owens and then 455 Mission Bay Boulevard, they only had a partial allocation for about 1/3 of the building area. That would be for pure office users only. Office that houses the researchers is not included in that. We don't have to have Prop M for that. But as Joel alluded to, we're seeing more and more users from our tenant base, both traditional tenant base and otherwise in that area that would like to have all office type of space. And it just makes a lot of sense to have that flexibility. In addition to just the pure office users, though, our lab users are more and more looking for additional office area for computational workflows as they integrate AI and other technologies into their research. So all of the -- we've been thinking about this for a while. We finally had an ability to act on it, and so we did. But I wouldn't read into anything as far as like are we not going to be doing lab there. Of course, that's the primary use. But to the extent that our lab tenants need more office area or there's other alternative tech in the area that is complementary to the innovation economy there, we want to be able to serve it and the counselors agreed with us and allocated the Prop M.
Operator: And our final question today comes from Jamie Feldman at Wells Fargo.
James Feldman: Joel, I was hoping you can just look into your crystal ball a little bit. You guys are clearly thinking about the balance sheet, making some changes to get capital in line, shrinking construction pipeline. You're probably the league leader in this space. How should we think about what's to come from the competitive set or just the industry overall in terms of finding a bottom and working through other pain in this industry? And I'm thinking specifically about your comment about meeting the market, I assume you meant on rents. Like you think there's a lot more downside on rents across the sectors, across the markets as this all plays out? Just how should we think about what's to come across the industry?
Joel Marcus: Yes. So maybe I'll make a couple of comments and ask Peter to come in, in depth. Yes, we don't feel like there is any real competitor out there, probably the next biggest company, which is maybe, I don't know, 1/4 of our size or something like that, 1/3 of our size is, Blackstone, and they're private, obviously, and they have a very different mindset about how they run their business in the sense of they don't -- I mean we view clusters in ecosystems in a different way than, say, a purely financial investor would view it, and that's a pretty important thing. And to a large extent, that's why we ended up with this big lease that we signed in San Diego that was not generated by an RFP. So another company would not have had a chance to really kind of come and bid on that. So we view ourselves very differently. There's nobody who is a public pure play. The one other company that's out there has got a big presence in South San Francisco and heavily weighted medical office. So I don't think that really counts as a comparable, and then there's a whole lot of private guys out there. But I think the point of what I said was, I think that 0 -- very low interest rates coupled with almost a decade-long bull market and this COVID run up. Remember, our demand went up 4x due to COVID. I mean we'd never see anything like that. And you try to meet the demand of your clients, but real estate takes time, and that's unfortunate that you can't meet it instantly. And so I think many, many of those folks that decided to hop into in the circa '20, '21, '22 era built foolishly. There's a lot of building standing empty. Peter and others call them zombie buildings. I just think they're just of a different ilk than buildings in the heart of clusters and wrapped into ecosystems just different. But if we're one-on-one with any other developer and we have space that fits the clients' needs, we're going to win. We almost never lose. And the reason is because we have the best team. We have the best space generally. You can rely on us. We have the highest level of trust and we do what we say and we say what we do. And we've got street cred in the industry that nobody else has anything like that. Peter?
Peter M. Moglia: Yes. Look, economics are very important, especially in an uncertain time when you don't know when the next dollar or where the next dollar is coming from, but you need space, you need to renew what have you. There's other choices out there, as Joel alluded to, some dumb space decisions made by others. And what that has caused is a deterioration in fundamentals. We've talked a lot about the TI allowances that are in the market, the free rent that's in the market. By and large, the market has held the rents fairly high. I mean I think we're still above pre-COVID rents in the big markets and especially in the tertiary markets where there's been less competition. But even our tenants, who are used to our great service, they know what's out there, they want to stay with us and they increasingly come to us and say, "Guys, we want to renew. We want to stay with you. We want to make a long-term commitment, but the reality of the market are this." And we just want to assure people that we understand that, and we're going to meet the market. Now are we going to have to go to the bottom in order to make the play? No. Like what Joel said as far as why people come to us, our platform, our service, our Megacampuses, I mean they still value that. But at the same time, they need a deal. And we're out there understanding where we need to be, and we are going to get a premium, but it's not going to be where it was in the old -- in the previous cycle. So we just want to assure everybody that the tenants that are the best tenants in the market that we want to retain, we're going to retain. And if that means more TIs than traditionally we had to get or a roll down in rent, then we'll do it. We're going to get through this time. It's going to take a while, but a lot of these zombie buildings will go and become different uses. The market will get tight, and we'll be in a better position the next time around. But we're going to continue to prioritize occupancy. And that's why Joel mentioned meeting the market.
James Feldman: Super helpful. So as you think about -- I mean, your Slide 19, you still have a positive mark-to-market. I mean is it -- could you sense when markets are bottoming or leases are bottoming? Or it's just too early to tell? Can you maintain positive spread?
Joel Marcus: I think it varies by submarket, Jamie, because some are very oversupplied and others are within some reasonable balance. But Peter, you can kind of...
Peter M. Moglia: Yes. It's a guess, right? But as I see that the majority of supply left to be delivered, which I think right now that we consider competitive is somewhere in the neighborhood of 3.3 million in our 3 big submarkets. Out of that 3.3 million, the majority of it is already pre-leased. So I'd say roughly about maybe 30% of that 3.3 million is going to be delivered vacant and increased availability. But then after that, we don't see anything in -- and that's inclusive of things delivering in '26 by the way. We don't see anything coming in '27. So the availability numbers are going to peak. And maybe it's a little bit into '26 when they peak. And so you're only going to go up from there. So I don't see fundamentals deteriorating further, given that there's just -- we're going to start recovering soon but you never know.
Hallie Kuhn: Just to add here, Hallie here, and to summarize that, given all the work myself and the team on the ground are seeing, as we continue to out lease competitors, which we are doing across all of our markets, we do see the early stages and acceleration of conversion of what were targeted as life science spaces going to other uses. And so back to your original question on competition, the more that we continue to out lease and dominate, the more we'll see that balance of supply coming into picture.
Peter M. Moglia: Yes. In other words, people are going to be capitulating and pivoting.
James Feldman: Yes, that makes sense. And if I could just throw in one more. I mean it seems like a big strategic moment for the company. I mean we've seen some of your office peers talk about asset-light models. Is that something -- I think your answer to one of the prior questions is no, you just want to continue to own your best Megacampuses, but have you thought about that at all? I mean you have such a good operating platform, is there a way to monetize the platform without tying up so much capital?
Joel Marcus: Peter, you can speculate on that.
Peter M. Moglia: Yes. I mean it's an interesting concept, Jamie, that we actually have discussed a number of times. At this point in time, though, it really doesn't make sense to have so many different players. It's going to consolidate down to where it was before, meaning experienced developers that have their own platforms and a lot of these projects that have deteriorated the fundamentals are just going to -- they're going to be something else and those operators are going to go away. So I don't know if it's really an opportunity to where you're managing other people's projects because those projects aren't going to be lab. That would be my take.
Joel Marcus: Yes. And I think, remember, Jamie, that I kind of emphasized a number of times, this is just very different than almost any other property type due to the intense regulation of all aspects of this industry -- the underlying industry. And demand is just different as well. It isn't just about what's the cheapest space or what's just simply available. It's -- I've got mission-critical both assets and processes in that space, and I don't want somebody to screw it up and lose me a whole lot of money. So that matters. Whereas if you're just going in for Wells Fargo office, whether you're in this building or that building, generally isn't going to make a huge difference. But for lab, it actually makes a giant difference. So it's just different.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Joel Marcus for closing remarks.
Joel Marcus: Just simply say thank you, everybody, be safe, be well. Thank you.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.